Operator: Good morning, ladies and gentlemen. Welcome to Masco Corporation's Fourth Quarter and Full Year 2015 Results Conference Call. My name is Jessa, and I will be your operator for today's call. As a reminder, today's conference call is being recorded for replay purposes. I will now turn the call over to the Director of Investor Relations, Irene Tasi. Irene, you may begin.
Irene Tasi - Director-Investor Relations: Thank you, Jessa, and good morning to everyone. Welcome to Masco Corporation's 2015 fourth quarter and full year earnings conference call. Joining me today are Keith Allman, President and CEO of Masco; and John Sznewajs, Masco's Vice President, Treasurer and Chief Financial Officer. Our fourth quarter and full year earnings release and the presentation slides that we will refer to during the call are available on the Investor Relations portion of our website. Following our prepared remarks, the call will be open for analyst's questions. As a reminder, we would appreciate it if you would limit yourself to one question with one follow-up. If we are unable to take your question during the call, please feel free to contact me directly at 313-792-5500. I'd like to remind you that statements in today's presentation will include our views about Masco's future performance, which constitute forward-looking statements. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from the forward-looking statements. We've described these risks and uncertainties in our risk factors and other disclosures in our Form 10-K and our Form 10-Q that we have filed with the Securities and Exchange Commission. Today's presentation also includes non-GAAP financial measures. Any references to operating profit, earnings per share, or cash flow on today's call will be as adjusted, unless otherwise noted, with the reconciliation of these adjusted measurements to GAAP in our quarterly press release and presentation slides, which can be found in the Investor Relations section of our website, www.masco.com. With that, I'll now turn the call over to our President and Chief Executive Officer, Keith Allman.
Keith J. Allman - President, Chief Executive Officer & Director: Thank you, Irene. And good morning, everyone. And thank you for joining us today. Please turn to slide four. 2015 was a transformative year for Masco. This time last year, we outlined the three elements of our strategy for value creation: number one, realizing the full potential of our core businesses; number two, leveraging opportunity across those businesses; and number three, actively managing our portfolio. Our focused execution enabled us to achieve the objectives we set out for ourselves in each of these areas. In 2015, we delivered solid full year results, we created a stronger foundation for future profitable growth, and we generated greater shareholder value. On June 30th, we successfully spun off our Installation segment, transforming Masco into a global, branded, building products company; where our distinct advantages, brand and innovation, are key success factors. These distinct advantages, as well as our operating discipline we've deployed in our businesses, drove both top and bottom line growth. Our revenues for the year grew 6%, excluding the impact of currency, notably, despite a weakening global economy, our international revenues increased 4% in local currency. Our operating margin grew 190 basis points to 13%, our highest operating margin since 2006, demonstrating our strong operating leverage and operational execution. All four of our segments contributed to this top and bottom line growth by continuing to capitalize on their leadership positions in the building products industry. Let me provide you with some key highlights. Most impressive was the turnaround story of our cabinet business. By driving share gains at retail and dealer channels with KraftMaid, realizing significant benefits from cost savings initiatives and improving pricing dynamics in the builder channel, we drove a remarkable 810 basis point improvement in operating margin, surpassing everyone's expectations. We're proud of this accomplishment and excited about the future outlook of this business. Our Plumbing segment had another outstanding year. By leveraging the strength of their brands and innovative products, Delta; Hansgrohe; and Watkins, our spa business; each broke sales and profit records in 2015. Illustrating their leadership – industry leadership, Hansgrohe was recognized with numerous international design awards and Delta Faucet received the 2015 WaterSense Sustained Excellence Award, the highest recognition from the Environmental Protection Agency for their exemplary effort to support water efficiency. In our Decorative Architectural segment, BEHR drove gallon growth with their innovative new product, BEHR MARQUEE, their expansion into the PRO segment and their award-winning customer satisfaction levels. We remain committed to investing behind our growth initiatives, including launching four new PRO paint SuperCenters in 2015, which further improve our fulfillment and service capabilities to the professional paint contractor. BEHR's leadership position in the architectural paint industry was reaffirmed with its number one ranking in the J.D. Power's 2015 Paint Satisfaction Study in the interior paint category. From a quality perspective, BEHR distinguished itself by simultaneously being awarded a number one ranking in interior paint, exterior paint and exterior stains by a leading consumer testing organization. In our Other Specialty Products segment, Milgard Windows, the leading window brand in the Western United States, successfully capitalized on new home construction growth and growing repair remodel demand for higher-end offerings. Capping off Masco's strong operational performance this year was our ability to generate nearly $0.5 billion in cash. Consistent with our balanced capital allocation strategy, we returned over $575 million to shareholders through stock repurchases and dividends in 2015. I want to thank all of our employees for their hard work, dedication and great performance in 2015. I will now turn the call over to John, who will go over our operational and financial performance in detail.
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Thanks, Keith, and good morning, everyone. As Irene mentioned, most of my comments will focus on adjusted performance, excluding the impact of rationalization and other onetime charges. Our 2015 performance was characterized by strong sales growth, driven by customer-focused innovation and solid operating margin expansion, resulting from cost control and productivity improvement. The fourth quarter was our 17th consecutive quarter of year-over-year sales and profit growth. We finished the year strong, with both our fourth quarter and full year sales increasing 6%, excluding the impact of foreign currency translation. All of our segments contributed to our strong sales growth in 2015. Foreign currency translation negatively impacted our sales in the fourth quarter by approximately $45 million and the full year by approximately $250 million, as the U.S. dollar strengthened against most major currencies, including the euro, pound and Canadian dollar. North American sales increased 6%, excluding the impact of currency for both the fourth quarter and the full year due to strong demand for our repair and remodeling and new home construction products across all channels of distribution. As a reminder, repair and remodel activity represents approximately 83% of our total sales. International sales increased 4% in local currency in the quarter and were up 5% in local currency for the full year. And our International Plumbing and Window businesses continue to perform above expectations. Demonstrating our ability to leverage SG&A as we drive growth, our SG&A as a percent of sales improved 50 basis points in the fourth quarter to 18.5% and improved 20 basis points for the full year to 18.6% of sales. And we delivered solid bottom line performance as operating income increased 31% in the quarter to $219 million, with operating margins expanding 280 basis points to 12.8%. For the full year, operating income increased 19% to $927 million, with operating margin expanding 190 basis points to 13%. The effect of currency negatively impacted operating income by approximately $6 million in the fourth quarter and approximately $42 million for the full year. For the fourth quarter, our EPS increased 61% to $0.29 and for the full year increased 35% to $1.19. Please turn to slide seven. Our Plumbing segment continued its momentum on both the top and bottom line in the fourth quarter. Sales increased 10% excluding the impact of currency. This solid performance was driven by strong sales increases of faucets, showers, spas and rough plumbing products. We're also pleased with our European performance in the quarter as our International Plumbing businesses grew 5% in local currency despite a tepid macroeconomic environment. Operating profit in the quarter increased 19% excluding the impact of currency, driven by incremental volume and a favorable price commodity relationship, particularly in Europe. Turning to the full year 2015, this segment delivered another terrific performance as demonstrated by our Delta, Hansgrohe and Watkins businesses all experiencing record sales and operating profit. Excluding the $218 million of foreign currency translation, sales increased 8% driven by growth in faucets, showers, spas and new program wins in rough plumbing. North American sales increased 10% excluding the $31 million impact of foreign currency related to the Canadian dollar as we continue to experience strong sales growth in both the trade and retail channels in 2015. More specifically, our luxury brand, Brizo, continues to drive consumer demand in trade and showrooms for our innovative new products such as the Artesso kitchen faucet. In addition, Delta gained share in faucets, showers and bathing with new product introductions at retail and trade. Our European businesses continue to outperform, delivering 5% growth in local currency as Hansgrohe grew its share in its core Central European markets with new faucet and shower offerings. Excluding the $30 million impact of foreign currency translation and the unfavorable impact of our commodity hedge of $14 million, full year operating income increased 9%. Turning to slide eight, in the Decorative Architectural Product segment fourth quarter sales decreased 4% driven by reduced paint and stain volumes in the DIY channel. This decline was driven in part from a difficult year-over-year comparison. You may recall in the fourth quarter of 2014 the timing of inventory replenishment orders favorably impacted our results as the segment sales increased 7% in the fourth quarter of 2014. Solid gains in the PRO channel partially offset this decline. If you exclude the period impacted by the timing of replenishment orders, we experienced mid-single digit gallon growth in the quarter. Full year sales grew 2%, excluding the $11 million impact of currency due to the introduction of BEHR MARQUEE Interior Paint, strong BEHR PRO growth and Liberty Hardware's continued share gains from successful new product introductions and program wins in the retail channel. Operating income increased 6% in the fourth quarter and for the full year operating income grew 12% over the prior year. Turning to slide nine, we are very pleased with the execution on the turnaround plan by the Cabinet team in 2015. Segment sales increased 5% in the fourth quarter and 3% for the full year. We continued our momentum from the third quarter with strong KraftMaid sales in the retail channel. Additionally, our dealer-exclusive KraftMaid Vantage product line, performing very well in the dealer channel, delivered both increased volume and favorable mix. Partially offsetting this growth was the deliberate exit of certain low-margin direct-to-builder business. Segment profitability in the fourth quarter improved $26 million over the prior year and our operating margin was 7.5%, our best fourth quarter margin in this segment since 2007. For the full year, operating profit improved $82 million to $51 million, which was $10 million more than we anticipated at the end of the third quarter. This was due to continued growth of higher price point semi-custom KraftMaid offering and the benefits associated with operational and other cost savings initiatives. Turning to slide 10, Milgard capped off 2015 with a great fourth quarter as they continued to drive higher volume and a favorable mix shift toward our premium window and door product lines. Milgard's growth, coupled with gains from the recent acquisition of Evolution Windows in the U.K., resulted in Q4 segment sales increasing 9% excluding the impact of foreign currency translation. This segment's operating profit was flat excluding foreign currency translation, primarily due to increased volume and improved mix, offset by increased ERP spend and other costs. For the full year, segment sales grew 10% excluding the impact of foreign currency translation, with strong window growth in the U.S. with our dealers and custom builders as consumers upgraded their purchases to higher price point products. This strong volume growth and improved mix resulted in operating profit improvement of 25% excluding the impact of foreign currency. Now turning to slide 11, the year-end balance sheet was strong with approximately $1.7 billion of liquidity. This will enable us to execute on our balanced capital allocation strategy of investing in our businesses – to grow in our businesses, pursuing strategic M&A, returning capital to shareholders through share repurchases and dividends, and strengthening our financial flexibility by reducing our outstanding debt. We continue to produce some of the best working capital results in the industry as working capital as a percent of sales dropped to a record low, 11.1% at year-end. This is a result of great execution in our supply chain initiatives to help us generate nearly $500 million of free cash flow in 2015. At the same time, we delivered on our commitment to return capital to shareholders by repurchasing 17.2 million shares in 2015 and raising our dividend in the fourth quarter. Now with that, I'll pass the call back over to Keith.
Keith J. Allman - President, Chief Executive Officer & Director: Thank you, John. We're proud of our track record of execution and as we enter 2016, we look forward to capitalizing on the momentum that we have built over this past year. Despite a level of global economic ambiguity, we remain encouraged with the opportunities before us. The fundamentals driving our core U.S.-based repair and remodel business, which I'll remind you represents approximately 80% of our sales, are strong. Interest rates remain at historically low levels, which support home affordability. Demographic trends are increasingly favorable, which drive household formations. Home prices are appreciating, boosting consumers' confidence to invest in their homes. U.S. residential housing stock is aging, with the average age of U.S. home 35 years. And housing turnover, which is a leading indicator for our repair and remodel business, has accelerated. Our international businesses have demonstrated that they can perform even in periods of economic volatility as demonstrated by international sales growth of 4% in local currency. We will continue to drive shareholder value by deploying the capital we generate from our strong free cash flows, including investing in organic growth, investing in strategic M&A, continuing opportunistic share buybacks and consistent dividends, and retiring debt. Given our industry-leading positions, robust innovation pipeline and the operational benefits from our Masco Operating System, we remain on track to reach our 2017 EPS target of $1.80 that we set for ourselves back in 2015. With that, I'll now open the call up for Q&A.
Operator: Your first question comes from the line of Mike Wood from Macquarie Securities. Please go ahead.
Mike Wood - Macquarie Securities: Hi. Congratulations on a very strong year and quarter. My first question, I would love your take on just the overall health of the consumer. I'm looking at your results and if I exclude that inventory replenishment on paint, which looks like it had about a 2% impact, it looks like you're growing 8% organically. So, just some color on the consumer and maybe how much of that is share gain.
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Hey, Mike, it's John. Good morning. Yeah, thanks. So, yeah, feel really good about the year. In terms of the consumer, we're seeing, generally, pretty good things. As we've seen the year develop, as we highlighted in our comment, we've seen very good growth in our Plumbing business as well as our Window business for the last 5 or 6 quarters in terms of Plumbing, and even better than that, probably in the last 12-or-so quarters with our window business. And now that Joe Gross and the team at Masco Cabinetry have really had the chance to execute on a turnaround plan, we're seeing a very good growth with – particularly, our KraftMaid brand at both retail and the dealer channel. So, we feel really quite strong – good about where the consumer stands right now, if – what we're experiencing in the last several quarters. So, all in all, the consumer seems like they're back and investing in their home.
Keith J. Allman - President, Chief Executive Officer & Director: Mike, I think the home price appreciation is helping with that. That's getting the consumer to now be able to connect the dots in terms of investment into their home. And we're also seeing some nice mix up shift in the consumer, with our Plumbing and Window businesses, in particular, really benefiting from a mix shift upwards. And then our KraftMaid business, lastly, with the mix shift there with our combination of new products and increased dealer sales is also helpful. So, all in all, we feel good about the consumer.
Mike Wood - Macquarie Securities: Thanks. And follow-up, your forecast for the $190 million CapEx in 2016, that's above where you been tracking. Can you give some color on where those investments are?
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Yeah, Mike. There's a couple of things there driving that this year. And as you know, typically, when we come on the first year – first quarter of the year with our CapEx guidance, we will refine that as the year progresses. But the couple of things that are driving a little bit north of our traditional 2% of sales are really a couple of three things. One, ERP investment at Milgard; two, we are in the process of expanding a distribution center for Hansgrohe over in Germany; and three, at Delta Faucet, we're making some CapEx investment in their – in a building there to – for their customer experience center. So, those are the three things that really elevated above the difficult 2% of sales.
Mike Wood - Macquarie Securities: Thank you.
Operator: Your next question comes from the line of Nishu Sood from Deutsche Bank. Please go ahead
Nishu Sood - Deutsche Bank Securities, Inc.: Thank you. And Keith, I just wanted to follow up on – you mentioned that you still feel comfortable with the targets that you laid out at the 2015 Investor Day and I appreciate that update. If we look back to what has changed since then, on the revenue side, obviously, the strong dollar foreign exchange, a bit of a headwind, maybe a little but incremental softness through the retail channel, but margin, commodities, obviously, have been pretty strong. So, trying – in terms of how – the path to get to that $1.80, has your – have your views changed? The $8.3 billion in sales, maybe – that will be a little bit more difficult to get, but obviously stronger margin. What's changed in terms of the path to getting there? If you could give us an update on that, please.
Keith J. Allman - President, Chief Executive Officer & Director: Sure. At first, I'd say were committed to the $1.80 that's not changed and that's what we're focused on, overall shareholder value creation for the entire portfolio. Certainly, as the year unfolded, and we'd expect changes and puts and takes to happen in the forward two years as well. But when we look at it, really, the underlying volume in paint was a little bit lighter than we expected. But on the positive side, Cabinets certainly had a more favorable year than we initially thought we had. Plumbing has also – with record years in both sales and profit from the two big horses in that segment with Delta and Hansgrohe. That was a little bit more favorable than we had thought. So, we're continuously monitoring our progress against the $1.80. There are some puts and takes, but we feel good, and remain committed to that $1.80.
Nishu Sood - Deutsche Bank Securities, Inc.: Great. Thank you. And in terms of share repurchases, John, last year the third quarter was your heaviest share repurchase quarter. That was, of course, during a period when there was also market turmoil. So, you were opportunistic and took advantage of that. With this renewed market turmoil, have you been more active in the share repurchases so far in the first quarter? And so, you guided to a similar dollar figure this year, so would you be willing to increase that based on how the – if the opportunity presents itself? And are there any seasonal cash flow restrictions that might influence how you conduct those share repurchases as well?
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Yeah. Nishu. Yeah, you're right. We were a little bit more active in the third quarter of last year, as a matter of fact, the fourth quarter of last year, we pulled back a little bit., So, we pushed about 1.7 million shares in the fourth quarter of last year. In the first quarter, I think, we would have continued to be optimistic. And you're right, we did guide to approximately the same dollar value of share repurchases in 2016 as we had in 2015. Here – in this part of the year, we have done some share repurchases, though we're a little bit constrained in the blackout period as to what we could buy, but we were active in the market as we saw the share price decline a little bit here in the first part of the year. And I would continue to expect us to be opportunistic, as we look at when and how we buy the shares back, but – and to part of your question about seasonal constraints, just given the $1.7 billion liquidity we have on the balance sheet, there are – that was the seasonal aspect of our business, really does not impact the pace or the in which we did buy our shares back.
Nishu Sood - Deutsche Bank Securities, Inc.: Okay. Great. Thanks.
Operator: Your next question comes from the line of George Staphos from Bank of America. Please go ahead.
Unknown Speaker: Good morning. It's actually Alex Wong (26:04) sitting in for George. Thanks for taking the question, and congratulations on the year. If we just look at margins for a second, plumbing and paint showed really nice margin expansion in the quarter. Are there any one-time items that benefited that, and how should we think about it on a go-forward basis? It sounded, John, that a lot of it was cost control and productivity, but if you can provide a little more granularity there?
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Yeah. No, Alex (26:32), you're right. Good margins across the board in the – across all the segments in the fourth quarter, except for the Other Specialty, and I'll talk about that in a minute. As you look across each of the segments, Cabinetry, obviously, a little bit of volume growth, better mix as well as productivity improvements, because of the ERP implementation last year really drove us to a great 7.5% operating margin in the fourth quarter. And our Plumbing business, really, it's more productivity improvement there, and some of the mix shift that we saw, as Delta saw some favorable mix. We did experience a little bit of negative mix in – at Hansgrohe during the quarter. And it's our at BrassCraft unit as well, our rough plumbing business. And I would also highlight the fact that in Plumbing, we saw some very good volume. We do estimate that we probably saw $15 million to$ 20 million of pull forward from Q1 into Q4 as a couple of our customers strive to hit higher rebate years in the quarter. And then in Decorative Architectural products, yeah, that probably did – the team at BEHR and at Liberty did a great job as – both productivity improvement, as they continue to work on the Kaizen engine that we're trying to establish in our businesses, and also some nice volume increases, particularly, at Liberty.
Unknown Speaker: Thanks for that. And just as a follow up, appreciate the color on the mid-single-digit gallon growth in paints when adjusting for the inventory replenishment timing. But would it be possible to provide some granularity around PRO in terms of the growth rate maybe in the quarter or 2015, just to help us frame what the growth rate was like for that? And what's your outlook for 2016 on PRO?
Keith J. Allman - President, Chief Executive Officer & Director: PRO is going very well for us, and we would continue to expect in 2016 a similar trajectory than – as we saw in 2015, which is high double-digit growth rate in that segment. We're really, really happy with that, and that comes as a combination of investment both in terms of product as well as customer experience. And we're very tightly linked with our channel partner. And I think that shows the power of having that outstanding channel partner and working together specifically on this initiative. So, the PRO is going very well for us, and we continue that – to expect that to continue. We highlighted a little bit on the call about the investment that we're making in PRO SuperCenters, which is basically – it gives us the capability to do high-speed tenting and jobsite deliveries to large PRO customers. And we're seeing a very powerful impact with that.
Unknown Speaker: Thank you.
Operator: Your next question comes from the line of Dennis McGill from Zelman & Associates. Please go ahead.
Dennis Patrick McGill - Zelman Partners LLC: Hi. Good morning, Keith, and John. My first question is for Keith. You mentioned the global ambiguity that's out there, and this is probably the biggest question on all of our minds, at least, but I guess the bigger debate is whether that is also in the minds of the consumer. So can you maybe just elaborate a bit more on what you've seen so far this year? And just big picture, how you think about the health of the consumer today? Any luck to the housing positives, which we would concur with – by at what point is that backward-looking, and do you start to worry about the filter-through effect at all?
Keith J. Allman - President, Chief Executive Officer & Director: I'm not really – that's not one of the things that keep me up in terms of the – at night in terms of the health of the consumer. We're seeing really strong traffic in our showrooms, in particular. And as I mentioned, Dennis, in Plumbing, for example, the mix trade up in the success of our showroom brands and our Brizo brand and our Hansgrohe brand, which all tends to be at the higher end of the continuum with regards to price, is very solid. So that combination of traffic and the willingness to spend and we – we're continuing to see that, gives me confidence in the health of the consumer. As well as the overall macroeconomic indicators that we look at around jobs and home price appreciation, and some of those other things that we talked about. In terms of the international ambiguity and some of the risk there, we have a very strong business in Hansgrohe. We sell to some 135 countries, and I think with their 2015 4% growth demonstration of their capabilities, that tells me that we figured out how to maneuver through this ambiguity. So, all in all, clearly, there's some international issues that we're faced with. Hansgrohe is well-positioned to address them in terms of how that affects the customer in our core repair and remodeling business, which is 80% of our demand drivers. I feel good about it.
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Yeah, Dennis, let me just add there a little bit. As we exited 2014 and interest rates started to pick up, we saw a little bit of a pullback in refinancing activity in consumers. Now that the tenured treasury's dropped and mortgage interest rates are now at three-year or four-year lows, we expect increasing levels of refinancing activity, which generally has been a leading indicator for repair and remodel activity, which again drives north of 80% of our volume.
Dennis Patrick McGill - Zelman Partners LLC: Got it. And so, if you stay here today and you sort of set aside the pressure in the shares and the stock market overall, doesn't sound like you'd feel any differently or less confident about any of your businesses than you would have, let's say, two months or three months ago?
Keith J. Allman - President, Chief Executive Officer & Director: No, that's a true statement. When we think about 2016, we really view 2016 versus 2015 very similar to how we saw 2015 versus 2014, so a continuation of that trend with R&R right at about 5%. We think we'll see new construction come in right at about 10% growth slower down in the growth – slowing down of the growth rate in multi-family and a little bit of an acceleration of the growth rate in the single family. And as we talked about – on the R&R side, with home price appreciation, good housing turnover and demographics that, that millennial group is aging. The average age from 25 to 29 is when they're clearly going to start having children, and that bodes well for new household formations, which at 1.7 million is a strong number. We feel good about the year going forward.
Dennis Patrick McGill - Zelman Partners LLC: We agree with you. Thank you, guys. Good luck.
Operator: Your next question comes from the line of Stephen East from Evercore ISI. Please go ahead.
Stephen F. East - Evercore ISI: Thank you. Congratulations, Keith and John. Quick question on Cabinets. Keith, if you wouldn't mind delving in a bit more about how the quarter shaped up and what drove the beat from the dealer perspective and the retail perspective? And then your performance – I mean, you're already into – with this quarter, you're already at 7.5% op margin. You're long term target was 7% to 10%, so is it time to reset the bar for that? How are you all looking at that? And if it is time to reset the bar, what do you think is achievable by the time we get into the end of 2017?
Keith J. Allman - President, Chief Executive Officer & Director: I think I'll talk in generalities at first here a little bit, and maybe get into a little specifics about what we're thinking about in terms of carryover, particularly, on the cost side. But in terms of generalities, the KraftMaid business, particularly, in the dealer market has got some very nice traction. We're growing nicely in the dealers, the value of the Vantage product offering that were launched is significant, and that there- that volume is a mix help for us. So, we're seeing some favorable mix in Cabinets. Clearly, we've done a good job of cost takeouts. We had, as you recall, some significant issues around an ERP implementation in 2014. We've put that behind us, and the team is really locked and loaded in on a pipeline of further cost reductions, so we're continuing to drive it. But admittedly, the year-over-year cost takeouts will not be as strong as they were when we look at 2016 versus 2015, as they were 2015 versus 2014. The better you get, the harder it is to get better. We took a lot of that cost issues out of the ERP systems, but we're going to continue to work on it. So, going forward, more specifically, you can think about approximately a $15 million carryover of cost improvements that we would have in that business, and then if you layer in the kind of growth rates that we talked about with R&R at about 5%, new construction at about 10% and the mix of our business in those two demand drivers. Think about around a 30% to 35% drop down in that incremental volume and I think that gets you right into where we're thinking about that segment for 2016.
Stephen F. East - Evercore ISI: Okay. That's great. And how you look at long term, maybe more generally on that 7% to 10% type of range?
Keith J. Allman - President, Chief Executive Officer & Director: Well, That's certainly not the ceiling for us, and we're going to continue to drive that higher. We're focused – we're continuing to focus on cost outs, because, obviously, we never believe we're all the way there. We're going to continue to drive that continuous improvement, culture and mindset, but it's really about growth, and we're driving growth and profitable growth with good mix in that dealer channel, specifically.
Stephen F. East - Evercore ISI: Okay.
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Yeah, some of the new construction momentum that we talked about is at the 10%. In general, some of that will be abated as we continue to prune and focus on builder direct business, where we can really bring a value add and where we can get paid for. So that growth will be a little bit muted on the cap side.
Stephen F. East - Evercore ISI: Right. I got you. And then second question, just quickly, I didn't hear anything on the paint side about raw material benefits, what you're seeing there. And then as you look at cash usage, you laid it out pretty good for next year, how do you think about that longer-term, John, and where does the allocation go, call it, over the next, two years to three years?
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Sure, Stephen. So in terms of price commodities, we did have a little bit of a benefit there into 2015. We probably experienced the low to mid-single-digit deflation in the year 2015. That said, as you probably have heard there have been a number of suppliers that have recently announced price increases later in 2016. So, it's not really clear whether those will stick or not, but those are hanging out there over our head right now. In terms of the second part of your question on capital allocation, you're right. We feel pretty good about where we're going to go here in 2016. Longer term and beyond that, obviously, we're looking at opportunistic acquisitions. And you can never really predict the timing of those, but with Amit onboard, and clearly trying to fill up the acquisition funnel. We've got a fair amount of activity generated towards that, but at the same time, looking at our share repurchases and making sure that we're doing the right thing for our shareholders by returning capital to them. And then, obviously, we'll take down some debt later this year with that maturity in October. We feel like we've got a good path forward, how we're going to allocate our capital. And it's all really going to be dependent upon the timing of some of these acquisitions that we're looking at.
Stephen F. East - Evercore ISI: All right. Thank you.
Operator: Your next question comes from the line of Eric Bosshard from Cleveland Research. Please go ahead.
Eric Bosshard - Cleveland Research Co. LLC: Hi. Good morning. In the Cabinet business, it was helpful to see your guidance on how the profit growth might perform from here. In terms of the market share growth, you talked about the progress you're making with KraftMaid and the progress with the market share in total. Can you just talk about or frame your expectations of how the Cabinet business might grow relative to the cabinet market in 2016?
Keith J. Allman - President, Chief Executive Officer & Director: We're really thinking about it, consistent with the market growth. We've had some nice retail growth this past year. We believe we're growing in the – and taking share in the dealer growth as well. That gets to be a little more difficult to peg the market size and the dealer market because of the fragmentation, but I would think about our growth rates being fairly consistent with the pace of the overall market.
Eric Bosshard - Cleveland Research Co. LLC: And the cabinet market, you're assuming grows in line with the R&R new construction market, is that what the assumption is that this point?
Keith J. Allman - President, Chief Executive Officer & Director: Yeah, that's right, about 5% on the R&R side and then about 10% on new construction side.
Eric Bosshard - Cleveland Research Co. LLC: And then secondly, in the paint business, better growth, better underlying growth it sounds like in the fourth quarter and quite favorable raw materials into 2016. Can you talk about the volume and margin expectations in that business from a bigger picture perspective, what we should be thinking about?
Keith J. Allman - President, Chief Executive Officer & Director: We really haven't changed our outlook on the longer-term margin in this segment of right there at about 18%. That's what we talked about on our Investor Day, and that's where we continue to think about it. We're committed to investing for growth in this, not only in terms of products and customer experience in retail, but of course, to continue to invest in our PRO business. So, I think long-term, thinking about this segment at 18% is a good way to think about it.
Eric Bosshard - Cleveland Research Co. LLC: Okay. Thank you.
Operator: Your next question comes from the line of Robert Wetenhall from RBC Capital Markets. Please go ahead.
Robert Wetenhall - RBC Capital Markets LLC: Hey. Good morning, everyone. Nice way to think finish the year on a high note. I wanted to ask if 2015 was about getting Cabinets back to profitability and spinning off Installation? Both pretty impressive things to accomplish. What's 2016 going to look like?
Keith J. Allman - President, Chief Executive Officer & Director: Really, we're focused on implementing our Masco operating system and driving growth to outperform our markets across all of our segments. And then, to carefully use our capital to drive shareholder value. We've earmarked in the range of $500 million for acquisitions. Our plan is to be very careful with that and to look for bolt-ons, particularly in our Plumbing and Coatings businesses. We're committed to paying down debt. We're certainly committed to continuing returning cash to shareholders in dividends and our share buybacks. So, I think when I'm thinking about 2016, it's about deploying our Masco Operating System and outgrowing the market and being good stewards of our capital to drive value.
Robert Wetenhall - RBC Capital Markets LLC: Cool. So, it's kind of like more of the same with improved profitability. And maybe, a question for John. How should we be thinking about free cash flow growth in 2016? Like, it's pretty clear that you guys are going to grow in line with the R&R market or slightly better hopefully, and you're raising your CapEx. And I was hoping to – is free cash flow going to grow this year in light of the bigger CapEx or will EBITDA growth outpace it? Any guidance there would be helpful.
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Yeah, Bob, just given the strength of our contribution margins, that run generally around 30% of incremental volume, and some of the improvements we're seeing across our business, I would expect that cash flow or – operating profit growth would run ahead of the CapEx investment – the increased CapEx that we're forecasting at this stage of the year. So, I would overall expect free cash flow growth as we go from 2015 to 2016. The end markets are looking good, we're feeling good about the productivity improvements and the efficiencies in our business, so right now – feel good about that right now.
Robert Wetenhall - RBC Capital Markets LLC: If I can just sneak one more in, what are the competitive dynamics? You guys have been very focused on expanding volume gallon growth in paint. And what are you just seeing from competitive response in the marketplace? You obviously dominate Home Depot with BEHR. What are you seeing out of Lowe's? What are you seeing across other competitors that have retail? How's that shaping up as we head into 2016? Thanks very much.
Keith J. Allman - President, Chief Executive Officer & Director: I'd say probably the most meaningful competitive dynamic in paint was an increase in advertising that we saw in our competition last year as they launched some of their new product lines. We did not have any significant Q4 promotions. We did in July, and then Labor Day we had some very productive promotions for us. But by and large, we stayed to our plan with our channel partner, but we did see some increased promotions in the competition. Outside of that, it's a tough category, it's a tough market, but I would say the competitive dynamics are fairly stable.
Robert Wetenhall - RBC Capital Markets LLC: Got it. Good luck. Thanks.
Operator: Your next question comes from the line of Keith Hughes from SunTrust. Please go ahead.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Thanks. Kind of building on Bob's question, do you anticipate, particularly with some of the raw material declines, that paint could become more competitive on a price basis as we go through 2016? And this is not specifically big box but looking at the other channels where consumers can buy paint.
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Keith, it really, I think, depends on where some of the price increases, the input cost increases, that announced. And I think what we're seeing in the marketplace now, we're seeing good sell-through on our product line, our paint products, in the retail channel. We're seeing very good growth, obviously, in the PRO business coming off of an admittedly low base. So, we feel really good. Well, is the industry getting more competitive? No. I mean I think we were up against some large, tough competitors, but I think where we're at, with four or five main competitors in the industry, I don't think the competitive dynamic changed all that dramatically.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay, thank you.
Operator: Your next question comes from the line of Michael Rehaut from JPMorgan. Please go ahead.
Michael Jason Rehaut - JPMorgan Securities LLC: Thanks. It's Mike Rehaut. Good morning and congrats on the quarter. First question, I guess I wanted to go back to the $1.80 goal on 2017 EPS. And clearly, there's a path there. That path would really require some good acceleration on the top line. And, of course, this year has been negatively impacted by FX. But still, even without that, I think across most of your segments, does require a good, at least, mid-single digit type of growth rate, if not stronger. So, just wanted to get your sense of segment-by-segment, how you're seeing things progress in terms of executing some of those growth strategies. And obviously at the Analyst Day, you laid out multiple paths, a detailed type of a goal in segment-by-segment. So maybe if it's possible, just to give some highlights in terms of perhaps how some of those opportunities are progressing segment-by-segment. Any additional detail there would be great.
Keith J. Allman - President, Chief Executive Officer & Director: Sure, Mike. In Paint, I've talked a little bit about it already on the call. The overall market was a little bit softer in DIY than we had planned, but we believe we're outgrowing that market and driving gallon growth. At the Analyst Day, we had our growth rate backend-loaded as we anticipated the ramping up of our PRO initiative to take some time. We're actually doing better in PRO than we thought. So, we anticipate continued ramp-up and feel good about how the last couple of years towards that goal in 2017 are going to roll in Paint. In terms of Cabinets, we've talked about that as well. That has exceeded our expectations. The team not only did a great job last year of ripping the cost out that we put in to protect the customer due to that ERP issue, but we also are now getting more productive. And we've put in a new finishing system, so our quality there is what I would consider best-in-class when you look at the quality coming out of that flat finishing line. We have new products that we're launching. The products that we have already launched are taking off. So, Cabinets are a real positive story and we're looking forward to profitably growing that business, particularly in the dealer channel. In Plumbing, again, a very good story. We're seeing nice mix shift. We also have very strong performance out of Delta with a record year, and that's saying something for a company that's been as successful as Delta has been. And Hansgrohe also had a record year, another very successful company with an outstanding leadership team in place there. So, we're clearly ahead of where we thought we would be. So, that's on the plus side as we think about moving out and going into 2017. From a Windows perspective, we're continuing to grow and outpace the market and gain share. We have our Texas plant that's coming up nicely. The new ERP system so far is going very well. We've already implemented several components of that without a hiccup, so we feel good about that. And that's an outstanding value proposition with that – Milgard value proposition out there, that has driven their share performance. So from a Plumbing, Cabinets, Paint perspective, while we talked about some puts and takes in terms of some stuff that's running hotter than we thought and stuff that's a little cooler than we thought, on balance we feel good and remain committed to the $1.80.
Michael Jason Rehaut - JPMorgan Securities LLC: That's a great review, Keith. I appreciate that. Very helpful. And I guess just my second question goes back to maybe pushing you a little bit on Plumbing. You've reiterated an idea around the 18% long-term margin target and you ended 2015 at 20%. Is there anything specific that would, let's say, drive the results back from 20% to 18% in 2016 in terms of some incremental investment or higher advertising? Because if you recall, I think some of that was what impacted the group in 2014 or into 2015, if I remember right. Or is there negative mix or is the incrementals a little bit worse than we're thinking? I Appreciate the 18% long-term guidance, but is there anything specific that's going to drive a 200 basis point reversal in 2016?
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Mike, it's John. A couple things that we talked about earlier. One, there are some price increases hanging out over the industry in terms of some of the input costs. The other thing, as we've talked about in the past, is PRO business that we're growing and growing quite rapidly is a negative mix impact on the overall segment. But that does not come at the same margin that our core DIY business comes at. And so, that would be a little bit of it. And the third thing that you mentioned it in kind of your remarks is we continue to invest to grow this business. This is something that we want to do. Our goal in conjunction with our channel partners at Home Depot is to drive gallon growth, and that's what we're committed to with them, that's what we're focused on with them, and that's where we're putting our investments in this segment. And so, we're looking forward to having future good years but it's all about the top line movement on this segment.
Michael Jason Rehaut - JPMorgan Securities LLC: Right. I Appreciate it. Thanks, guys.
Operator: Your next question comes from the line of Mike Dahl from Credit Suisse. Please go ahead.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Hi. Thanks. Keith, I wanted to go back to a response you had to, I think, Steve East's earlier question around Cabinets and $15 million carryover from the cost improvements, plus just the general leverage in the business. And so, if I wanted to push on that a little, because our understanding was a lot of the progress this year was somewhat organic in terms of mix improvement and some leverage and then some of the initiatives that may have been underway prior to the Analyst Day when Joe had outlined the $50 million in cost take-outs. So, I guess, understand wanting to play it a little slow since it's still early on in the turnaround, but if the team's work isn't done, shouldn't you see more improvement in 2016 than just the carryover effect from the 2015 initiatives?
Keith J. Allman - President, Chief Executive Officer & Director: We're continuing to drive cost take-outs and revenue gains in this business. If you look at 2015 and the pace of the cost-outs that we did, that was the thing that really was a positive versus our expectations – was the speed that that team was able to take these costs out. So when you look at where they came out, a lion's share of these cost-outs came out early in the year as we were making these improvements. So, the $15 million, certainly we're going to drive to try to get everything we can in terms of the cost take-outs. But we're also investing in this business and balancing it with growth investments around new products, around some pricing and some advertising and programs that we're running. So, I think thinking about the $15 million carryover plus the 30% to 35% dropdown in incremental volume, and think about that volume increment pretty consistent with the market, I think that's a good place to be.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Got it, okay. And then, John, I think you made a comment on the Plumbing, that there was $15 million to $20 million pull-forward in sales in the fourth quarter. So just curious if you could give us a sense of how to think about that from a profit standpoint as it'll impact the first quarter of this year. Since it was coming against a higher rebate level, should we think about that as maybe less of a hit to the 1Q profits than normal, or just any color you can give there?
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Yeah, I'd say, Mike, I'm on about a 25% drop through on those, that pull-forward sales.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Okay, thank you.
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Yeah.
Operator: Your next question comes from the line of Stephen Kim from Barclays. Please go ahead.
Stephen S. Kim - Barclays Capital, Inc.: Yeah, thanks very much, guys. Congratulations on a good quarter. First question was about your comments on mix shift. I think that I heard you specifically call out the faucets, but I was curious as to whether you could expand a little bit on what you're seeing with respect to mix shift, particularly along a few vectors: one is across segments, was it more broad-based than just the faucets; two, was it primarily driven by new product introduction, is that primarily where you saw it, or were you actually seeing something more sort of organic across all your products whether they were newly introduced or not; and then thirdly, whether it's just a comment that you're seeing shifting to sort of higher end or if across this price spectrum you're seeing people willing to invest a little bit more for something a little better?
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Yes, Stephen, it's John. I'll give you a couple of comments on some, then I'll turn over to Keith for some comments as well. In terms of, let's say, the Window business for instance, we have seen a nice mix shift in our Window business for the last probably seven quarters or eight quarters as consumers have moved up the price continuum to either a high-end vinyl or our fiber glass window product at Milgard. And it's been a continued focus of the teams, but the consumers are driving that, and that's why you're seeing nearly double-digit growth in that segment for the last 12 quarters or so. So really, really strong growth, partially impacted by mix. So then, we launched that Essence product about three years ago, and so that's driving it. And then, I'd say if you look at our Paint segment as well, we launched BEHR MARQUEE Interior Paint this year and we didn't see – well, let's say, a $45 a gallon or so price point for us at retail, our highest retail price point, we have seen some nice mix shift up. So, that is a new product introduction that is driving some of that mix benefit that we're seeing. And I'll let Keith talk about both Plumbing and Cabinetry.
Keith J. Allman - President, Chief Executive Officer & Director: Yeah, Steve, I would say that the mix shift we're seeing is more broad-based. It's certainly not just constrained to one segment. Our spa business for example, that is an extremely discretionary, high-dollar ticket item, and we continue to do very well in that business with a record year. So, that's significant. In our windows business with the Essence product line, we're seeing that shift to that higher-end product very clearly. On the Plumbing side, some of our most successful product lines are those that we sell in the showrooms, in the high end. We've talked about Brizo, Hansgrohe, and then our showroom-based products in Delta. And if you look at the – just an anecdotal view, as I was out at the Builders' Show and the Kitchen & Bath Show in Vegas, the most exciting part of the booths where we got the most traffic were in those higher-end items. So, it's broad-based. MARQUEE in paint. So, I see it as a general trend in terms of driving the upgrades. Clearly, a part of that, we're enjoying due to new product introductions. The KraftMaid Vantage line has got a quite impressive penetration in our dealer segments, and it's very helpful as we present it to new dealers that we sign up. So, between driving share of wallet in our existing dealer base, to helping us have a solid value proposition to new dealers, it's very helpful. So, product plays a fundamental component. As does channel focus, getting deeper and deeper relationships on our existing dealers, both in the Plumbing segment as well as in Cabinets, it's very helpful. Understanding how our channel makes money in this higher-end and helping drive them in that direction. We're seeing that in our plumbing wholesalers in particular. So, it's broad-based. It certainly is driven by new product introductions, but it also has a fundamental component around channel focus and relationships.
Stephen S. Kim - Barclays Capital, Inc.: Perfect. That's very helpful. Switching gears, I wanted to just ask a general question about the exit from the Cabinet, the builder direct business. My understanding is that this was something that you're still actively servicing the smaller builders in the market but you still represent the majority of the industry. But my understanding was it's sort of the larger builders that you chose to exit from. I guess my question here is what's changed versus, let's say, 10 years or 15 years ago? Because obviously, you're very effective at serving large customers. So, that's really nothing new from Masco. So, I'm curious as to what do you think has changed in the industry and your relationship with the larger builders such that this is business that really just doesn't make sense for a large producer like Masco? Are these larger builders de-specking their product so that it's just not – the value proposition isn't there in Cabinets, or have they become noticeably more aggressive negotiators over the years?
Keith J. Allman - President, Chief Executive Officer & Director: It's more on the take-per-unit issue that's driving this to be a very difficult channel to make money in. So you mentioned 15 years ago, I don't know if it was that long ago, but if you go back to where the average home had, say, 18 boxes in it, they were 42-inch uppers, so big cabinets with solid wood, glazed, a ton of content and quite a significant amount of boxes. And then now, you move forward to where in some of the market, not all, but in some of the market, you're down to in the 13 boxes per unit to 14 boxes per unit, flat panel, low, very de-contented finishing levels, and de-contented hardware, that sort of thing. So, your take-per-unit is significantly clipped in some of these customers but you still have the cost of that last mile of delivery, you still have to manage the installation and manage the punch out and all the other issues that go with keeping customers happy in this segment. So, I would say the main driver on it really was the change in the type of product that was being delivered and our ability to make money given the, by and large, fixed cost nature of that last mile install and punch-out. And it's not just the large builders. It's not strictly large builders. What we're really looking for is builders that value our brand, builders that value our excellent service and then partnering up with them. And what we're finding is that there's good business out there for us to have but there's some business that's not productive for us to have, and that's our approach.
Stephen S. Kim - Barclays Capital, Inc.: Great. Thank you very much.
Operator: Your last question comes from the line of Alex Rygiel from FBR. Please go ahead
Alex J. Rygiel - FBR Capital Markets & Co.: Thank you. John, nice quarter. Keith, nice quarter. Just one quick clarification. Does the $1.80 view in 2017 include any incremental future share repurchases?
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Yeah, so, yes, Alex, good question. So, there's a couple of assumptions underlying the $1.80. One was constant currency kind of as of the date of the Analyst Day in May 2015. And the other was the assumption that we completed the 50 million share authorization that was announced on September 30, 2014 by the end of 2017.
Alex J. Rygiel - FBR Capital Markets & Co.: Perfect. Thank you. Nice quarter.
John G. Sznewajs - Chief Financial Officer, Treasurer & VP: Yup. Thanks, Alex.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.